Operator: Greetings and welcome to the Trupanion, Inc. Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Laura Bainbridge, Investor Relations.
Laura Bainbridge: Good afternoon, and welcome to Trupanion's second quarter 2021 financial results conference call. Participating on today's call are Darryl Rawlings, Chief Executive Officer; and Tricia Plouf and Margi Tooth, Co-Presidents. Similar to prior earnings calls, Margi will be joining Darryl and Tricia for the Q&A portion of today's call. Before we begin, I would like to remind everyone that during today's conference call, we will make certain forward-looking statements regarding the future operations, opportunities and financial performances of Trupanion within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995. These statements involve a high degree of known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed. A detailed discussion of these and other risks and uncertainties are included in our earnings release, which can be found on our Investor Relations website, as well as the company's most recent reports on Forms 10-K and 8-K filed with the Securities and Exchange Commission. Today's presentation contains references to non-GAAP financial measures that management uses to evaluate the company's performance, including without limitation, fixed expenses, variable expenses, adjusted operating income, acquisition costs, internal rate of return, adjusted EBITDA and free cash flow. When we use the term adjusted operating income or margin, it is intended to refer to our non-GAAP operating income or margin before new pet acquisition. Unless otherwise noted, margins and expenses will be presented on a non-GAAP basis, which excludes stock-based compensation expense and depreciation expense. These non-GAAP measures are in addition to, and not a substitute for, measures of financial performance prepared in accordance with the US GAAP. Investors are encouraged to review the reconciliations of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in today's press release or on Trupanion's Investor Relations website under the Quarterly Earnings tab. Lastly, I would like to remind everyone that today's call is also available via webcast on Trupanion's Investor Relations website. A replay will also be available on the site. With that, I will hand the call over to Darryl.
Darryl Rawlings: Thanks, Laura, and good afternoon, everyone. In June, we hosted our Annual Shareholder Meeting, during which we covered a wide range of topics that pertain to our business and our 60-month plan. Because of this, we will keep today's remarks brief. In summary, Q2 was another strong quarter as shown by our key financial measures. Total revenue grew 43% year-over-year. We added over 33,000 net new subscription pets in the quarter and we crossed over 1 million in total pets enrolled. These are interesting. But what I am most focused on is the expansion of our adjusted operating income, which are profits generated from our existing book of business that we then have available for us to grow and invest in our business at attractive internal rates of return. In the quarter, adjusted operating income grew 32% to $18.5 million. We deployed about $17 million of these funds on our subscription business to acquire nearly 56,000 pets at an estimated internal rate of return of 34%. It's worth reiterating that for the purposes of our internal rate of return calculation, pet acquisition cost is inclusive of all sales and marketing spend, including the cost of all team members working on acquiring pets. Growing our adjusted operating income and deploying as much of this as possible at attractive internal rates of returns are the fundamentals of our business model. The team is increasingly skilled at doing so. Year-over-year, the team was able to put approximately 100% more capital to work and in a disciplined and highly efficient way. Historically, we spent the vast majority of our adjusted operating income in acquiring pets in our core subscription business. This quarter, in addition to the $17 million we spent acquiring new pets, we spent $1 million of our adjusted operating income on pre-revenue initiatives that are a part of our 60-month plan. We also invested roughly an additional $1 million in CapEx compared to the prior year, primarily in our next-generation product administration platform, which we will launch in the next 12 months. We expect this platform will support new product initiatives, improve our member experience and build upon our position as a global low-cost provider in our industry. While these results in us being cash flow negative in the quarter, it's a trade-off we are excited to make given our large underpenetrated market and the opportunities we're pursuing as a part of our 60-month plan. As a reminder, our 60-month plan was provided in our most recent Shareholder Letter, which can be found on the Investor Relations portion of our website. Our financial position is strong, and we are well capitalized to afford our accelerated growth and execute on the opportunities ahead of us. Even with our elevated growth, I'm happy to report continued exceptional monthly retention of 98.72%, the output of our ongoing focus on member experience. The average pet now stays with Trupanion for 78 months, which is up from 70 months just a few years ago. We believe our retention is industry leading and small incremental improvements can meaningfully impact the intrinsic value of the company. Maintaining retention while accelerating growth is exceptionally difficult, and the team deserves to be commended on their efforts. Taking stock of where we stand six months into our 60-month plan, I am pleased with the progress we have made and I'm proud of the team. With that, I'll hand the call over to Trish to discuss our Q2 results in greater detail. Trish?
Tricia Plouf: Thanks, Darryl, and good afternoon, everyone. We are very pleased with our second quarter results, which exceeded our expectations. Our over-performance was led by strong monthly retention and solid growth additions in our subscription business and continued strong growth in our other business. Total revenue for the quarter was $168.3 million, up 43% year-over-year. Within our subscription business, revenue was $120.4 million in the quarter, up 30% year-over-year, or 27% on a constant currency basis. Total enrolled subscription pets increased 22% year-over-year to approximately 643,000 pets as of June 30. Average monthly retention, which is calculated on a trailing 12-month basis was 98.72% compared to 98.66% in the prior year period, which we attribute to our ongoing investment in service levels. As a reminder, our blended retention rate is influenced by our mix of business during periods of accelerated growth, first-year retention may act as a headwind to overall retention. Monthly average revenue per pet for the quarter was $63.69, an increase of 7.2% year-over-year or 4.4% on a constant currency basis. In the first half of this year, we saw ARPU increased 7%, and the cost of paying veterinary invoices on a per-pet basis also increased approximately 7%. While we continue to make progress on our pricing initiatives, we currently estimate needing an additional 1% in ARPU increases to ensure that we are pricing more consistently to our 71% value proposition. Our subscription cost of revenue includes the cost of paying veterinary invoices and variable expenses. As a percentage of subscription revenue, the cost of paying veterinary invoices for our subscription business was 72%, and variable expenses increased slightly to 10%, both reflecting continued investment in people, systems and claims automation capabilities. We continue to be encouraged by the impact we are seeing to retention from these initiatives, which are designed to deliver a more differentiated member experience and over time to reduce frictional costs. Our other business segment is comprised of revenue from other products and services that generally have a B2B component and different margin profiles than that of our subscription business. In total, other business revenue was $47.9 million for the quarter, an increase of 88% year-over-year, due primarily to an increase in pets enrolled within this segment. Cost of revenue for our other business segment was $44 million compared to $23.5 million in the prior year period. The year-over-year increase is consistent with the increase in segment revenue over the same period. Total fixed expenses, which are shared services that support both our subscription and other line of business, were 4% of revenue in the quarter, an improvement from 5% in the prior year period. After the cost of paying veterinary invoices, variable expenses and fixed expenses, we calculate our adjusted operating income. As Darryl mentioned, we view our adjusted operating income as the critical measure of our scale and discipline, since it represents the profit we generate before investing in growth and other strategic initiatives. For our subscription business, our target adjusted operating margin remains at 15%. In the quarter, our total adjusted operating income was $18.5 million, which is up 32% over the prior year period and our total net loss was $9.2 million, which I will discuss in more detail momentarily. Approximately, 90% of our adjusted operating income was generated from our subscription business during the quarter at $16.6 million, or 14% of revenue. The variance from our 15% target was primarily due to the investments in our member experience we discussed earlier. We have made the strategic decision to invest in these initiatives in the near term as they drive retention and referrals, but we do expect them to scale longer term. During the quarter, we invested $17.1 million of our adjusted operating income to acquire approximately 56,000 new subscription pets. This resulted in a PAC of $284 in the quarter, an estimated 34% internal rate of return for a single average pet within our internal rate of return guardrails. Given our strong balance sheet and scale, we are also investing in new product development and international expansion. These initiatives are included in development expenses as they are pre-revenue and were $1.1 million in the quarter. This resulted in an adjusted EBITDA of $0.2 million in the quarter compared to $5.5 million in the prior year period. Depreciation and amortization were $3.2 million during the quarter, an increase of $1.4 million from the prior year period. This increase was primarily due to the amortization of assets from our software acquisition in the fourth quarter. Total stock-based comp expense was $6.5 million during the quarter, up from $2.2 million in the prior year period. This is in line with our projection of $67 million in stock-based compensation per quarter for the remainder of this year. As a result, net loss was $9.2 million, or a loss of $0.23 per basic and diluted share, compared to net income of $1.4 million, or $0.04 per basic and diluted share in the prior year period. As compared to the prior year period, the increase in stock-based compensation impacted net loss by $0.11. And the increased depreciation and amortization impacted net loss by $0.04 per share. I'll now turn to cash flow. Operating cash flow in the quarter was negative $2.2 million compared to positive operating cash flow of $4.9 million in the prior year period. The year-over-year decrease in operating cash flow reflects our accelerated pet growth and investment in development initiatives I discussed earlier. We have also increased our investment in capital expenditures compared to the prior year totaling $2.9 million during the quarter. The increased capital expenditure is primarily related to software, driving our member experience and new product initiatives. This resulted in free cash flow in the quarter of negative $5.1 million. At quarter end, we held cash and investments of over $219 million and no debt. I'll now turn to the outlook for the full year of 2021, which we are updating to account for our over-performance in the first half of the year, including benefits from FX. We now expect total revenue in the range of $687 million to $692 million. Subscription revenue for the full year is expected to be in the range of $495 million to $498 million, representing 28% year-over-year growth at the midpoint. At these revenue levels, we would expect total adjusted operating income of around $76 million, an increase of 34% over the prior year, with over 90% being generated from our subscription business. Of the $76 million in adjusted operating income, we would expect to invest approximately $69 million in acquiring pets within our subscription business, which add our targeted internal rates of return, results in a PAC of around $280. We believe the most value is created through the compounding effects of cost effective pet acquisition, while operating within our internal rate of return guardrails of 30% to 40%. For the full year of 2021, we continue to expect to spend $3 million to $5 million on development initiatives discussed earlier, as well as on our other business pet acquisition. For the third quarter, total revenue is expected to be in the range of $177 million to $179 million. Subscription revenue is expected to be in the range of $127 million to $128 million, representing 28% year-over-year growth at the midpoint. Also keep in mind, that our revenue projections are subject to conversion rate fluctuations between the US and Canadian currencies. For our third quarter and full year guidance, we used an 80% conversion rate in our projections, which was the approximate rate at the end of July. Thank you for your time today. Operator, we will now open up the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Shweta Khajuria with Evercore ISI. Please proceed.
Shweta Khajuria: Okay. Thank you. Two questions from me, please. First is on ARPU that increased from last quarter as well. So, could you please update us on the revised full-year guide for ARPU? And then the second question is, Darryl, you said you are pleased with the progress for the five-year plan in the first six months. Maybe if you could talk about how you're measuring progress across those five pillars or initiatives that you laid out in the Shareholder Letter? Thank you.
Tricia Plouf: Thanks, Shweta. This is Trisha. I'll start with the first one before I hand it over to Darryl. So, we did see ARPU continue to increase, although little bit lower on a constant currency basis. And as a reminder, we are a cost-cost model. So, we're constantly looking at that and trying to hit that 71% value proposition. We'll continue to do that for the rest of the year. We're looking at roughly in the 5% to 6% range for the full year just based on how we're tracking, as we look to that 71% and what we expect to be flowing through.
Darryl Rawlings: Hi, Shweta. So, we have a number of initiatives that we outlined in the Shareholder Letter and we talked about recently in the Shareholder Meeting. Broad speaking, they include adding more products, new distribution channels in North America and then international expansion. How are we measuring our investments in those areas? All of them have, what we consider to be considerable upside. And considerable upside that will not only be good for the next several years, but that could drive growth for the business for the upcoming - following one to two decades. All of these initiatives are going to take a varying period of time from 12 months, 24 months, 36 months to get off the ground. So what I'm really monitoring are the milestones in each of those initiatives and how they are projecting moving forward compared to our expectations. And in all areas, we feel really good. COVID has made international travel a little bit more challenging. So although we're moving ahead with business plans and making a lot of progress, we haven't had feet on the ground as much as we would like, but overall the teams are doing really well. Margi, do you have anything to add?
Margi Tooth: No.
Shweta Khajuria: Okay. Thanks, Trish. Thanks, Darryl.
Operator: Our next question is from Maria Ripps with Canaccord Genuity. Please proceed.
Maria Ripps: Great. Thanks for taking my questions, and congrats on strong results. So, your Q3 guidance implies continued strong growth with very little deceleration from Q2. Have you seen any changes in sort of consumer behavior or vet traffic over the past few weeks, amidst there seems to be sort of worsening COVID conditions around the country? And then I have a quick follow-up?
Margi Tooth: Hi, Maria. It's Margi. So in terms of the overall change in consumer behavior, we're really - I mean, our lead volume is up, our conversion rate is up. It continues to go in a positive direction and has been going on for the last several quarters, which is good. In terms of specific vet changes, nothing has changed in the vet industry directly, with same thing we've seen so far this year and over the last year. We've had shortage - we've had staff shortages [indiscernible]. There is obviously voice of the pandemic hanging over the head at the moment. But in terms of the need for our product, that continues to be a real, but it's reinforced during times like this. Hence, our traffic is being positive and there hasn't really been a change since last quarter.
Darryl Rawlings: And just as a - I'll kind of add to it. Our core subscription business is growing very strong and has so for the last three quarters. As Margi said, leads and conversion rates are up. But just a reminder, the overall penetration rate in North America is extremely low. About every one point of penetration is over $1 billion of revenue. So, we've got so much runway ahead of us for the next several decades in just North America. That little changes in environmental, what's happening out in the world don't really - we don't see them as much as a headwind. And I think our retention rates, which are at our historical highs are another indication that we've got a big market ahead of us and the consumers are accepting our product.
Maria Ripps: Great. Thanks for that. And then secondly, I just wanted to ask about sort of the breeder channel and I believe you talked in the past that it could be an opportunity for Trupanion. I guess, how far along are you in that effort? And it seems like it's a very fragmented space. So do you see sort of the opportunity there to leverage data and technology to accelerate these efforts sort of similar to what you've been doing with vet hospitals?
Margi Tooth: Yes. Yes. So, I mean the breeder channel is one of a number of channels. They've all been growing. And breeder channel is one that we've been definitely investing in now for a good few years. There is no data, as you say, it is a fragmented channel and the reason that we like the breeder channel is because you're getting to a puppy or a kitten at a very early age. And for us, we believe the best member experience is having that pet enrolled from birth, taking them all the way through to end of life. And so, it really helps in terms of messaging. It ties into our overall value proposition. It's the reason that we feel that we have such strengths in our product. So it ties in well there. We continue to invest in all of our different distribution channels. Breeder is one that we are - we like a lot. It has high lifetime values, and we'll continue to invest in that within those guardrails, particularly [ph] with any of the channels that we're performing in. We remain excited. And it's definitely part of that 60-month plan.
Maria Ripps: Great. Thank you for the call.
Operator: Our next question is from David Westenberg with Guggenheim Securities. Please proceed.
David Westenberg: Hi. Thank you for taking the question. And congrats on the good job. So, we're hearing a lot about wage inflation, services inflation and that's really kind of raising prices over the next couple of years to accommodate that. I know over the long run, higher prices drives demand for insurance. Do you anticipate any short-term impacts, if indeed, we are seeing an increase in prices that we've not historically seen over the past few years?
Darryl Rawlings: Well, you've pointed out an underlying thing that is often misunderstood in that. We are aligned with veterinarians, with them providing the best level of care that they can. Veterinarians and their staff have gone through a lot of pressure over the last year. Wage inflation is certainly a challenge. It's been a challenged for 10-plus years. Corporate consolidation is another one. We would expect inflation to be at or above historical levels for the next several years. What's important for us and we've done a really good job, you can notice it in this quarter and on the previous quarters of keeping lockstep between our ARPU and the cost of what we're paying out in veterinary invoices. As Trish mentioned, we're still trying to bump it up about 1%. So, we're very encouraged by what the veterinarians are doing. Referrals, specialty hospitals, the advancements they are making. And it's our job just to make sure that we can continue to stay on top of it and we do that in a very granular fashion. We shared on a blended basis, but the team is doing a good job.
David Westenberg: Got it. Thank you. This could be mismodeling because I can do that at certain point sometimes. I am not perfect. So anyway, when I was looking at - I under modeled kind of what the some of the subscription costs would be. And I was trying to go through and unlike, everything kind of just miss me slightly or was a little bit above me in terms of subscription costs and paying invoices, variable expenses, fixed expenses, everything was a nudge above me. Is there any moving parts in the quarter? Or did I just not do a very good job of modeling or listening to the 72% language that you've used before because that's possible too? And that's my last question.
Tricia Plouf: Yes, Dave. I would say things move around slightly quarter-to-quarter. At the end, we were targeting around 14% going into the quarter and that's the guidance we gave on AOI. And we did come in right at that. So - but it's possible between the various components, those we - we performed a little better on our fixed expenses, though we did invest a little heavier in some of our member experience variable expenses, but I mean overall where we came in with the 14%. And our adjusted operating income was right on.
David Westenberg: Got it. Thank you.
Operator: Our next question is from Elliot Wilbur with Raymond James. Please proceed.
Michael Parolari: Hi, everyone. This is actually Michael Parolari filling in for Elliot. Thanks for taking my questions. So, I believe in June, you guys discussed one of the initiatives was the introduction of lower medium price point plans. I was just wondering if you had any update on those plans, timing-wise? And then also, regarding those plans, can we still expect around a 70% payout ratio for them? And how should we think of ARPU growth with the presumed greater price sensitivity around the lower mid-price point plans? Thank you.
Margi Tooth: So, I'll kick this off and Darryl and Trish can answer to those questions as well because they are a few in there. So to start off with how we're doing, we have actually launched since the June Shareholder Meeting where we announced more of the details around the low medium ARPU products, the first of which is called PHI Direct. We just launched that in Canada in the last month. And very early days, which is a few weeks ago. So there's nothing really to share other than we're happy that we've built a new muscle as a team. One of the things that we've been really, really trying to balance and learn this year in the 60-month plan is that we've got a very strong growth rate today with our core subscription business. And as we build the new muscle, how do we maintain that strong growth rate as well as to this new - these new initiatives? And I think with our numbers that you've just seen come through in Q2, we've proven that we can do that, which is encouraging. Darryl, in terms of the margin, do you want to take that?
Darryl Rawlings: Yes. I mean the most important margin for us is our 15% adjusted operating margin and all of our new subscription initiatives, which include low and medium ARPU, international expansion, new distribution channels, even - given [indiscernible] on the monthly food subscription side, all of them are designed to have the same margin profile. So, we're looking at creating that 15% and that's our focus.
Tricia Plouf: Yes. I would just add one thing. Overall, we will, as some of these things ramp up, our key metrics, particularly ARPU will reflect more mix of business. But in general, I think the thing I want to highlight, particularly as we look to this year and rolling into next year, the guidance and the results, strong results that we have experienced and are talking about for the remainder of the year are driven by our core business. These things that we're launching do not have any meaningful impacts that we're projecting currently on these results. And as they roll in over time, there'll be additive and that's one of the things that we're really excited about as well. Like Margi said, really driving strong growth in our core business, and these will all be additive as they start ramping up and we haven't modeled anything material this year so far.
Michael Parolari: Got it. Thanks, guys.
Darryl Rawlings: Thank you.
Operator: [Operator Instructions] Our next question is from Ryan Tunis with Autonomous Research. Please proceed.
Ryan Tunis: Hey, guys. Thanks. Good evening. I guess on the underwriting front, with things reopening, whether it's frequency incidents - and I'm not going to have an issue, what you call, the number of claims in pet insurance. But are you seeing a higher level of frequency utilization than maybe people putting off surgeries, things like that?
Darryl Rawlings: No, I mean, our product is accident and illness. And the accident and illness, there was a slight dip in frequency in the beginning of COVID. I described it at the time of being like a snowstorm. If you call the veterinarian, you said my dog is limping a lot or a little bit and has got a lump or a bump, do I need to come in today? And the veterinarian is like, I'd like to see them soon, but it's not critical that you hear today. That's slowed down frequency in the beginning of Q2 of last year. It also dramatically slowed down wellness visits. So people going in for flee control vaccinations, teeth cleaning, et cetera. But the frequency of our business is very stable. And going really into Q3 and Q4 of last year, we were back to normal frequency levels and they've held steady since then.
Ryan Tunis: Got it. That makes sense. And then just on the PAC. The pet acquisition cost, I'm trying to split hairs. In the last quarter, we were using $280 as the assumption and it crept a little bit above that. I think you mentioned $280 earlier in the call is what you're thinking about for the rest of the year. I mean, should we interpret that as guidance? Or is it kind of - do you think it will probably more likely continue to pick up?
Darryl Rawlings: Well, I mean, we do or we target our pet acquisition cost based on the internal rate of return. So our guardrails are anywhere from 30% to 40%. The guidance that Trish mentioned on there was assuming we hit a 35% at the midpoint of our internal rate of return and that our lifetime value remained steady of where it is today. But the lifetime value of our pet has gone up above 14% over the last year because of the increase in ARPU and the increase in retention rate. So, if there is a little bit - if we continue to have strong retention rate, then ARPU goes up and we hit 34%, you could imagine there'd be a little higher. If we hit 36%, it is probably a little bit lower. But I think we're kind of splitting hairs. I mean for us, the goal is a large underpenetrated market and we're happy with an internal rate of return anywhere between 30% and 40%. We are right now saying, the whole team, they're cooking with gas. We've got our foot on the accelerator. We're trying to do it in a very disciplined way. So, we're monitoring where we're spending our money by breed, by channel, by geography but we're in growth mode.
Ryan Tunis: Got it. And then just a housekeeping item, depreciation and the development costs. I know there's a shrink. But is this quarter a pretty good run rate to use for rest of the year?
Tricia Plouf: Yes. I think, particularly on depreciation, development, we're managing that more on an annual basis between 50 basis points and 100 basis points of revenue depending on the year and the other initiatives we have going on. This particular quarter, the development expenses ticked up just based on the number of initiatives, but on an annual basis. That's how we look at it.
Ryan Tunis: Thank you.
Darryl Rawlings: Thank you.
Operator: Our next question is from Greg Gibas with Northland Securities. Please proceed.
Greg Gibas: Hey, Darryl, Trisha and Margi. Thanks for taking the questions. A couple of quick ones. Seems like there is some revenue upside in the other business segment. Wanted to ask, what do you attribute that to? And then also, regarding - I know it's very early on in your rollout of this, but just wanted to ask how the initial reception of your Landspath products have been thus far?
Margi Tooth: Yes. So Landspath, our monthly subscription food that we talked about in our Shareholder Meeting, I think we are still very much in the stages of putting everything together and making sure that when we do kick off our tests, which we - as it is a test, we're making sure we have everything lined up, that everything is ready to go. So a little bit - we're a little bit ahead of that. At the moment, we haven't quite got it out to our consumers to test this. After that test, we'll look to hospital testing. So it's still got a fairly long runway. As with everything in our 60-month plan, we expect them to come on at different times. So this is something that we continue to work on. We've got focus on this, making sure that we can do it right and we'll be able to update as and when that test kicks off and looking at more information then.
Tricia Plouf: And I can speak to your first question. You're correct, we did overperform on both segments and the other business revenue being one of them. As a reminder, there is a few different things in our other business revenue. All of them in combined, it's a lower margin part of our business. One is we insure our pets for the veteran affairs of the federal government service dogs. Two, some employer benefits that go through there and then three would be underwriting other products in the market that we don't fully own. And all of them performed well during the quarter, over-performed. As a reminder, this segment tends to be less predictable, tends to be a little bit more lumpy. And so we always try to make sure we don't get ahead of ourselves when we're projecting that out, particularly because it's a lower margin part of our business, areas that we are happy to participate in, albeit at lower margins. But our main focus is on our core subscription business and really pushing that and the margin profiles that come along with that and the strong growth rates. Over 90% of our adjusted operating income is coming from our core subscription business. So while we're happy for all segments to overperform, the focus is on the subscription, particularly in our 60-month plan, that's where you'll see those initiatives come into play more.
Greg Gibas: Great. That's helpful. And with respect to your guidance, I know you don't necessarily breakout here your underlying assumptions in different channels. But I was just wondering maybe at a high level, how you're assuming that lead volumes trend in our units for the second half of the year, for instance? Are we expecting to see kind of similar levels of growth in that leads relative to the first time?
Margi Tooth: Yes. I mean, we definitely - the TPs or territory partners can get back out into hospitals. We are seeing that active hospital visits happening more and more frequently, which is always great for that relationship itself. For that industry, it's so core to everything we do. So, we've seen that lead volume continue to pick up as I mentioned, and that is our core channel there. So, I anticipate that, that continues to be strong. When we talk about the way that we deploy our capital, the way that we can invest that money, for 30% to 40%, we're going to keep doing that. And I think one thing that - to the earlier question, we've actually have been in a position where we're driving an awful lot more leads than we're converting. So, we're thinking about a 30% to 40%. We're staying in that guardrail to be really efficient. So, we know that the opportunity is there for us to go and crank the labor [ph] on lead volume, as well as trying to keep that conversion rate high. So that will, no doubt, continue to perform very strongly for us and the team is doing a great job of keeping that lead volume up.
Darryl Rawlings: I'd just add a comment for people that are new listeners to Trupanion. Now, Trupanion has over 150-plus people in the field, calling on veterinary hospitals or typically trying to visit them every 60 days. We're the only company in the category that has a dedicated sales force. And during COVID, like everybody else, they were stuck at home and they had to learn how to deal with telephone communication, texting, zooming; and the field was excited and to be able to get back in the cars and make those connections. We'll have to all watch what happens with COVID, but we're really eager to be in the field and we expect strong growth from that segment of our business.
Greg Gibas: Great. Thank you.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. And this will conclude today's conference. You may disconnect your lines at this time. Thank you very much for your participation and have a great day.